Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Helix Energy Solutions Group Review of the Fourth Quarter 2013 Results Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator instructions) As a reminder, this conference is being recorded, Thursday, February 20, 2014. I would now like to turn the conference over to Terrence Jamerson, Director of Finance and Investor Relations. Please go ahead.
Terrence Jamerson: Good morning, everyone, and thanks for joining us. Joining me today is Owen Kratz, our CEO; Tony Tripodo, our CFO; Cliff Chamblee, Executive Vice President and Chief Operating Officer; Alisa Johnson, our General Counsel; and Erik Staffeldt, our Finance and Treasury Director. Hopefully you all have had an opportunity to review our press release and related slide presentation released last night. If you do not have a copy of these materials both can be accessed through the Investor Relations page on our website at www.helixesg.com. The press release can be accessed under the Press Releases tab and the slide presentation can be accessed by clicking on today’s Webcast icon. Before we begin our prepared remarks, Alisa Johnson, will make a statement regarding forward-looking information.
Alisa Johnson: During this conference call we anticipate making certain projections and forward-looking statements based on our current expectations. All statements in this conference call or in the associated presentation other than statements of historical facts are forward-looking statements and are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual future results may differ materially from our projections and forward-looking statements due to a number and variety of factors including those set forth in our slide two and in our annual report on Form 10-K for the year ended December 31, 2012. Also during this call certain non-GAAP financial disclosures maybe made. In accordance with SEC rules the final slide of our presentation materials provide a reconciliation of certain non-GAAP measures to comparable GAAP financial measures. The reconciliation along with this presentation, the earnings press release, our annual report and a replay of this broadcast are available on our website. Owen?
Owen Kratz: Good morning, every. I’m going to start up with some comments to slide five, which is the high level summary of the Q4 results. We had a very good Q4. EBITDA increased to $82 million from $70 million in Q3, while EPS was down to $0.35 per share from $0.42 per share. This was primarily driven by a much higher tax rate in Q4, 29% in Q4 versus 13% in Q3, plus the fact that we had a net non-recurring gain of $0.04 per share in Q3. For the year we round up with $300 million of EBITDA followed on our original guidance. Moving to slide six and seven, our Well Intervention business realized strong levels of utilization in Q4 at 94%. More importantly, the outlook, as well as our backlog to this business continues to improve and grow, more on this later including the recent announcement of Petróbras award. The successful introduction of the Skandi Constructor and the Well Intervention operations in September has been a nice incremental contribution to our results. The vessels performed very well and big hats off to our team in Aberdeen for introducing this vessel with a very smooth operational launch. Our Robotics chartered vessel fleet realized 88% utilization in Q4, which is relatively good for this business segment, given our exposure to the North Sea market, where activity levels generally tail-off the late fall and winter months. Our good performance in Q4 overcame the fact the Well Enhancer went into dry dock in mid-December earlier than we had planned and the Skandi went off higher as well in the December transiting to West Africa. In addition the Helix Producer I was out of service for 46 days in Q4 for its regulatory dry dock. Given all these events, I especially feel our Q4 performance is very good. On the slide seven, from a balance perspective our cash and liquidity levels remained very strong. Cash stayed flat at approximately $480 million with liquidity levels staying strong at approximately $1.1 billion, adding the unused capacity in our revolving credit facility. Our net debt to book cap remains at very conservative 5%, which gives us the confidence to take advantage of the many market opportunities available to us. I will now turn the call over to Cliff for an in-depth discussion of our Contracting Service results.
Cliff Chamblee: All right. Thank you. Good morning all. As you can see from our summary results, Contracting Services and revenues as a whole increased by $11 million quarter-over-quarter, while gross profits remained same at around 30%. As Owen alluded to you in his opening remarks, this was a very impressive quarter, where strong performance in Robotics and our Well Intervention fleet were made up for the shortfall and revenues from the Helix Producer I and the Well Enhancer both been dry dock portion of the fourth quarter. I’d like -- I’d also like to point out that we included the sale of our Spoolbase facility located at Ingleside in early January, thus completing our exit from the subsea construction business. Moving on to Slide 10, the Well Enhancer view, in the Gulf of Mexico, the Q4000 utilization was 100% for the second quarter. Our spare Intervention Riser System, IRS no. 2 remained under contract in standby rates for the entire quarter and start earning operationally when it went on hire at the beginning of late November and through the end of December. Also after a rather complex and lengthy reinstatement process, the Helix 534 is now operational and on hire for the remainder of the year. Over in North Sea, both the Seawell and Skandi Constructor achieved 100% utilization for the quarter, while the Well Enhancer was fully utilized up until as she entered dry dock in mid-December. The Well Enhancer then returned to service in late January. For the fourth quarter, all three vessels remain busy on a variety of well intervention projects in North Sea. Our Skandi transcended to offshore West Africa in mid-December to begin approximately 60-day well intervention campaign. This is similar campaign. This is similar to the one we performed utilizing the Well Enhancer back in the fourth quarter of ’11 and through the first quarter of ’12. Skandi is scheduled to return back to North Sea later in the first quarter of this year. Next on, robotics and moving to Slide 11, the robotics utilization remained strong for the fourth quarter, during the season where we have typically seen declined activity in the North Sea. Our chartered vessel fleet utilization was 88%, which was consistent of our five vessels under long-term charter. During the quarter, we also picked up three spot vessels for the Gulf of Mexico for few short-duration jobs. Utilization of the ROVs, trenchers and the ROVDrill was relatively flat from fourth quarter versus third quarter. However, the increase in trencher days offset the slight decrease in vessel utilization, thus keeping profits in line with the last quarter. All four of our trenchers were utilized during the quarter, which was the first in 2014. At T1200 and iTrencher were onboard to Grand Canyon for oil and gas trenching, while the T750 on the Deep Cygnus and T600 primarily performed trenching work renewables in the renewable sector. We continue to make progress with our ROVDrill technology where we completed a job offshore West Africa with the asset. We’ve also extended, existing multi-ROV services contract with the client in Malaysia. This contract runs through January of next year. We move on to Slide 12. I will leave this slide detailing the vessel utilization for your reference, and with that I will turn it over to Eric for our key balance sheet metrics.
Erik Staffeldt: Thanks, Cliff and good morning. Please turn to Slide 14. Slide 14 provides an illustration of our debt maturity profile at December 31st. Debt reduction during the quarter was a result of the required quarterly payments of out term loan. Moving on, Slide 15 provides an update on our gross and net debt levels historically at December 31st. We continue to maintain a strong liquidity position with approximately $1.1 billion of liquidity. Our net debt levels was approximately $88 million and remain constant quarter-over-quarter. Our total net debt reduction for the year was approximately $500 million. Over the past five years, we have reduced our gross debt levels by over [$12 million to $13 million] million and our net debt position by over $1.7 million. Tony?
Tony Tripodo: Thanks, Erik. Let me move straight to Slide 17, which presents our initial 2014 guidance. Consistent with the exit rate guidance we provided throughout 2013, we expect 2014 EBITDA to approximate $350 million. This guidance takes into consideration three vessels that are entering or in the case of Well Enhancer having a dry dock in 2014 as follows. The Skandi Constructor is expected to enter dry dock sometime in December. The Well Enhancer actually went into dry dock in mid-December and successfully completed its dry dock in late January and is now back to work. We plan for the Seawell to go into dry dock in December for the purpose of performing some major improvements in order to extend their useful like well beyond what I considered a normal operating life. The vessel was built in 1987 and she is still performing at a high-level and is much appreciated by our North Sea customer base. We feel the investment that we plan to make will add many years to our life and represents significant return on investment. As we indicated earlier, the H 534 entered to service in mid-February, so with all of above and taking to consideration, we still forecast the $350 million EBITDA number for 2014 overcoming the dry dock hurdles as well as the late start for the H 534. The outlook for the robotics business is much stronger at this stage of the New Year versus 2013. We expect all geographic regions for robotics to improve in 2014. The trenching market is strong niche for us, should pick up nicely in 2014. As such, we are presently working on two major trenching programs right now. The Grand Canyon 2 is slated to enter into fleet very late in 2014, and does not expect to contribute much if anything in 2014. When you look at our revenue guidance for 2014 for ongoing ops, we are forecasting a revenue growth of 28%. Our backlog amounted to $2 billion at December 31st. The vast majority of this backlog is represented by the well intervention business and this number does not include the two vessel contract we recently announced for Brazil. We expect to announce backlog at the end of the first quarter of 2014, when adding the recently sign Petróbras contract at an amount approaching $3 billion. By vessel, the Q4000 is spoken for through 2015 with additional commitments beyond. The Seawell, Well Enhancer, and Skandi Constructor have relatively high levels of backlog and commitments through 2015 which should lead the continuing high levels of utilization. Note the prior commentary regarding dry docks and life extension. The Helix 534 has a full backlog or is otherwise committed through 2016 with backlog reaching into 2017 and the Q5000 is a five-year contract with BP for a minimum of 270 days of utilization per year once she is placed in service. Our CapEx for 2014 is now forecasted at $400 million. Of this number, approximately $320 million is growth capital, including progress payments for the Q5000, spending on the Q7000, ROV fleet additions, a new ROV transferred to T1500 and initial spending to furnish the two vessels to be constructed for the Petróbras contract. I will skip slides 21 through 24 and leave them for your reference. At this time, I will turn the call back over to Owen for closing comments.
Owen Kratz: Well, things are good. And in spite of some challenges like this, Skandi constructed delay going into full well intervention service for few months, no contribution from the H-534 for the entire year and then early dry dock at the Well Enhancer. Strong performance from the rest of the well intervention fleet and stronger production facilities business allowed us to meet the guidance of $300 million EBITDA issued at the beginning of the year. There always seems to be give and take and we can applaud the efforts of those that worked at Helix for reaching to make this happen. Helix is now well into the promised growth strategy. The Q5000 new construction is ongoing and appears to be under budget at this time. Jurong Shipyard expressed their determination of an on-time delivery in Q1 next year. The Q7000 is progressing with first steel to be cut early this summer. The most recent news is the establishment of Helix in Brazil with two charter newbuild vessels for Petróbras. We continue to add assets and robotics as the market opportunities present themselves. This year should see the delivery of a new charter vessel, Grand Canyon II, a new trencher to serve the growing alternatives energy markets and several new work-class ROVs to upgrade and grow our fleet. The market continues to have strong visibility for future well intervention demand as well. If the concerns about the cyclical softening of rig rates does occur, we believe this should have little effect on Helix, as our assets are booked through 2015 and beyond with demand increasing. What we are seeing right now is a strong competition by the drilling rig contractors for the available labor pool. This is the most direct impact we are seeing from the drilling rig side of the industry. Our balance sheet remains strong with over $1 billion in liquidity. We’ve opted to charter the two newbuild vessels from Siem Offshore for the Brazilian contract in order to minimize the capital investment and keep more options open for future growth without overstressing the balance sheet. We are committed to maintaining a prudent balance sheet. I believe we are on track with our growth initiatives and I am very excited about the future. At this time, we will turn it back over and open it up for questions.
Operator: (Operator Instructions) Our first question comes from Jim Rollyson. Please go ahead, sir.
Jim Rollyson - Raymond James: Good morning, guys.
Owen Kratz: Good morning, Jim.
Jim Rollyson - Raymond James: Can we get maybe just a little bit of color on the two new deals for Brazil and Petróbras maybe? Four-year deals on contracts, are these full utilization, just maybe some thoughts on how much cash flow it takes to generate, just some kind of color there?
Owen Kratz: Yes, there are two vessels, the first vessel to be delivered mid 2016, with the second vessel to be delivered within six months after the first one. The total CapEx right now budgeted at 240. And EBITDA contribution, give or take, it depends on the ramp up the SG&A and everything, but EBITDA generation is going to be roughly $80 million for both vessels.
Jim Rollyson - Raymond James: Okay.
Owen Kratz: $40 million per vessel.
Jim Rollyson - Raymond James: Yeah, that’s perfect. That’s helpful. Historically Petróbras has tried to do, it seems like everything on the cheap. And $40 million EBITDA wouldn’t suggest you guys are necessarily doing anything on the cheap? Is it a shift or were they actually paying out for quality or maybe some thoughts around that?
Owen Kratz: I would, I would -- obviously I’d like to say yes. So that’s the case. I think our relationship with Petróbras goes back many, many years. I think Petróbras is one that’s in Brazil but we’re not willing to go there unless it’s the right contract. And I think we’ve been very patient. There has been timing issues but Petróbras is also the leader without a doubt in the use of intervention vessels up to this point. So they are very savvy about what it takes and what the requirements are. And I’d like to believe the reason that we were awarded this contract was because of our longstanding track record and excellence in intervention.
Jim Rollyson - Raymond James: Okay. That’s helpful. Last one from me, just maybe any update on the contracting outlook for the Q7000?
Cliff Chamblee: This is Cliff. Yeah, we’re slow working the contracting issues. We expect BP to finalize their own commitments here sometime soon. And we’ve got several other contractors that our clients have been working with as well. I think we’ll have more flavor on that probably in the June timeframe.
Jim Rollyson - Raymond James: Perfect. Felt like you guys are in pretty good shape from a backlog standpoint. Thanks.
Operator: Thank you. Our next question comes from Martin Malloy. Please go ahead.
Martin Malloy - Johnson Rice: Congratulations on the good quarter.
Owen Kratz: Thanks Martin.
Martin Malloy - Johnson Rice: I was wondering if you could talk a little bit more about the demand you are seeing on the ROV side. I know it’s in the outlook section on Page 19 of the slide deck that you had two five-year contracts for ROV services continue ROVs. And that’s -- I don’t recall seeing those kind of length of contracts before for your ROVs. Is that something new and maybe if you could talk about the number of ROVs that you are looking at over the next couple of years?
Owen Kratz: Yeah. I’ll just make a quick comment and turn it over to Cliff because he’s very close to it. But in general, we’re trying to transition that business model a little bit and we’re actively going after seeking longer term contract. One of the issues that we had going into last year was that our visibility is on our stock market basis and it’s very difficult for us to sometimes get it right. Right to say we usually get it more right than wrong but last year for instance, we had excess vessel to pass that sort of drove the ROV division down. This year we are -- because we are switching and pursuing the longer term contracts, our visibility improved. And I think that’s gone reflecting our increased margins for us because we’re able to rightsize the fleet that are going into each year. You have anything to add.
Cliff Chamblee: Owen, I think you covered it there but yeah, you’re right. We have picked up some long-term contracts on two different vessels for the same client for two ROVs on each vessel and one of those started a few months back and one just gotten started and we’re pursuing more of those as we speak.
Martin Malloy - Johnson Rice: Okay. Any additional opportunities to add Intervention Riser Systems that you might rent out to other operators?
Owen Kratz: I think the rental riser business is an exciting opportunity. I know there is a lot of interest from the major fabricators. And that we’ve -- I don’t know how to put this. It’s a challenge for us. We’re not a fabricator. Historically, we’ve not been a fabricator of our own systems. We designed them and had been built by others. We’ve just taken on a new facility though where we’re going to be taking over the more of the assembly of our own systems. That should improve our production time for generating them. Right now, we’re sort of working very hard to produce enough systems for the new vessels that we’re adding and that’s our intent that we get ahead of that. And we have one rental systems that’s out right now, that’s well but we need redundancy there and the markets are certainly there to support additional systems. So that’s an exciting growth potential for us.
Martin Malloy - Johnson Rice: And where is the new facility that you took over.
Owen Kratz: It’s on Hempstead -- it’s just off the Hempstead highway.
Cliff Chamblee: It’s here in Houston.
Owen Kratz: Here in Houston. So it's very close to our corporate headquarters.
Martin Malloy - Johnson Rice: Okay. Thank you.
Operator: (Operator Instructions) And the next question comes from Igor Levi. Please go ahead.
Igor Levi - Morgan Stanley: Good morning.
Owen Kratz: Good morning.
Igor Levi - Morgan Stanley: There has been a lot of concern in the market on the increased competition from rig. So I was hoping you could talk a bit about how your vessels stack up against rig as far as efficiencies for both the heavy intervention tube vessels and the light intervention vessels you have in the North Sea?
Owen Kratz: That's a long discussion. Let’s take light intervention vessels. First of all, it's absolutely a slam dunk that when it comes down to join light intervention test, our vessels are far more efficient than using a drill rig to run riser wide line through the open water column. That's I don't know even though remote consideration by producers. On running a riser system, Statoil did a study during the Cat B tendering process that does sort of show that we -- our vessels generated something around in the order of 40% efficiency gain over a rig. I think there is lot of components to that. First of all our vessels are permanently rigged up for intervention to the equipment and specific two intervention, the open-sided there, the size of the intervention and everything are optimized for intervention. So laying out the handling of all the systems that’s the result of 25 years of doing it and every little efficiency gain is sort of worked into new vessels. I might say that we also -- we price our vessels because they are smaller than the rig. The capital cost is lower and therefore we're able to price lower with the same return on capital. But there is a little mention over, if you look at our quoted rates versus rig rates, they're not exactly apples-to-apples. If a different rig rate -- if a rig is do intervention work, you still have to put the Intervention Riser onboard along with some other equipment. So the rig rate is a rig rate plus where ours it’s a not all-inclusive rates including the Intervention Riser, the ROVs et cetera. So if there has been quite a bit of efficiency gain. I might also say I think the producers are little concerned and looking out and I know there is a lot of talk about softening in the rig market right now. But I think producers have longer term vision. And they are a little concern about the tight market in the future and where rig rates are or could good go. And I think there is more for of an acceptance of the intervention technology and almost a mandate starting to occur producers to use intervention vessels rather than rig and leave the rigs for the drilling. So all-an-all I just -- I've been looking to a lot of the talk about softening rig rates, looking at actual rig rates, some have gone up, some have go down. It's just not a concern for us.
Igor Levi - Morgan Stanley: Great. That's very helpful and when you mentioned on the point of rig rate actually being rig rates plus the cost of setting up the intervention equipment. Do you have any color on what that actually costs so we can kind of integrate that into what the comparable economics are assuming I guess a typical job is two to three weeks?
Owen Kratz: That’s sort of hard to do because you have to look at each individual rig contractors and see what they are including and what they are not including, but order of magnitude is very similar close to 100,000.
Igor Levi - Morgan Stanley: Okay. And lastly…
Owen Kratz: I think that’s understated because when you get into some nuances like how much support is needed for the rig versus to support for our vessels. Our vessels become pretty much all inclusive. So the support cost is another delta, so it’s probably greater than the 100,000 difference just comparing the quoted rates.
Igor Levi - Morgan Stanley: Okay. That’s extremely, extremely helpful. And lastly any color on pricing for your vessels where you are actually seeing out there for a well intervention. Last call, I think you mentioned that you could potentially see a slowdown in price increases, how is that, what have you been seeing since then?
Owen Kratz: I think that was more of a hypothetical response to people asking what happens if rigs rates fall sufficiently then, yes, at some point our rates would drop. But I think if you look at our track record, we have been pretty successful at pushing our rates up and I think that trend is continuing where we do have opportunity to increase rates.
Igor Levi - Morgan Stanley: Thank you. I will turn it back.
Operator: Thank you. Our next question comes from the line of Michael Marino. Please go ahead.
Michael Marino - Stephens: Thanks. Owen, I guess you addressed a lot of my concerns just in the previous statements. But I was curious on the backlog number, you guys at least had in the presentation of $1.8 billion was flat sequentially. I would be curious to know, is there any, were there any changes within that in terms of rates or -- I’m kind of getting at the same question that a lot of concerns that a lot of people have, I mean, has there been any pushback in rate from customers as though we have seen some softness in the mid-water drilling fleet?
Owen Kratz: Michael, let me addressed this. I think what the investors have to look at is the bigger picture here, that not too long ago that is at the end of 2012, our backlog was $850 million. And we are going to be likely to reporting a backlog number at the end of the first quarter close to $3 billion, that’s a pretty significant increase. And over the last few quarters, our margins have held up very well if not been higher and our backlog was essentially, I think in pure dollars a little higher at the end of the fourth quarter than it was at the end of the third quarter. But I think the backlog has committed rates. So we’re not at risk for rates, I think that’s an important point to emphasize here. Our backlog at $3 billion is not at risk for rate. So what happens in the rig rate market is really of no concern for us next couple of years in terms of how it’s going to impact our margins.
Cliff Chamblee: Can I jump for a second because this whole dialogue that we get an awful lot. First of all that we’re talking about a change in rig rates, we’re talking about something that’s going to occur in 2016, 2017 or beyond before it will impact us. And I mentioned the longer-term vision or visibility of what the producers are looking at. All of this is sort of anecdotal, but I would certainly like to challenge the analyst to actually look at, take a full list of all of the existing 3rd and 4th Gen rigs in the world, look at which ones are suitable for well intervention, and you get down to a very small number, and then you look at the ones that have long-term committed contracts and the threat to our market is not that significant.
Michael Marino - Stephens: All right, great. I really appreciate the color. And I guess, Owen, if I could kind of follow up on that. It sounds like from what your previous comments that really customers have started to look at you guys. It’s a completely different decision making process from using intervention vessel versus using a drilling rig. I mean, is that a fair statement that kind of we’re comparing apples and oranges now?
Owen Kratz: I really think that’s the case, but I think you’re seeing a bifurcation of the market here. I think there is an actual intervention market with its own business model, which is distinct and separate from the drilling model. The contracting style is different. The length of the contract is different. The use of the equipment on the deck is different. It just happens to be that semisubmersibles when you used with interventions just happened to have similarities in the current rig.
Michael Marino - Stephens: When do you think that distinction really started to take place in the marketplace? Is it taking place today? Or is it something maybe Macondo help trigger with the Q4000 use there? Or is it just being -- is it something, I guess, that’s been building for while, but, I mean, if you could kind of shed some light on kind of that, how that processor, that customer mindset is changing or have changed?
Owen Kratz: I don’t think there is a singular trigger event. If you go back in history, you have to realize that we never achieved full utilization on a single vessel and well intervention until 2007. Even when the Q4000s we’ve delivered in 2002, it was not readily and immediately accepted and there was no trigger along the way, it’s just incrementally gotten better and better. And I think with the credibility of the track record of what we’ve done has gained acceptance. The tightening of the rig markets and where rig rates have gone has also driven the producers to really look at the alternatives. I think there was a period of time and we’re still in that period of time where the producers are looking at various options which makes it sort of difficult -- a little more difficult for us on a competitive front because there is a lot of ideas about how to do intervention. We have 25 years of stake, so we’re pretty firmly entrenched on how we think it ought to be done. And I think the producers are starting to come around and trust us on our methodologies. So I don’t think it’s a singular event like Macondo. I think it’s just the natural progression of the industry going to deepwater and the realization that in deepwater with the rising costs, there have to be a change shift in paradigm as to how you distribute the work. If you look back historically itself, roughly 50% of the work was done by drill rigs, 50% done by subsea construction assets. The construction market has been bifurcated and you had special assets doing a particular task. Moving into the deepwater, the drill rig was still used for all of the tasks, conventionally used by drill rigs. So it’s a natural progression that the market would start to look at the individual tasks done by drill rigs and start to separate (inaudible) and look for special event application. And I think that’s the process that we’ve been going through.
Michael Marino - Stephens: Great. Thanks for the background and color, Owen.
Operator: (Operator Instructions) We have no further questions at this time. I’ll turn the call back over for any closing remarks.
Terrence Jamerson: Okay, thanks for joining us today. We very much appreciate your interest and participation and look forward to having you on our first quarter 2014 call in April. Thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect all lines. Thank you and have a good day.